Operator: Welcome to the MasTec first quarter 2009 earnings conference call initially broadcast on April 30, 2009. Let me remind the participants that today's call is being recorded. At this time I'd like to turn the call over to Marc Lewis, MasTec's Vice President of Investor Relations. Marc?
Marc Lewis: Good morning everyone. Welcome to MasTec's 2009 first quarter earnings conference call. The following statement is made pursuant to the Safe Harbor for forward-looking statements described in the Private Securities Litigation Reform Act of 1995. In these communications we may make certain statements that are forward-looking such as statements regarding MasTec's future results, plans, anticipated trends in the industries where we operate. These forward-looking statements are the company's expectations on the day of the initial broadcast of this conference call and the company will make no effort to update these expectations based on subsequent events or knowledge. Various risks, uncertainties and assumptions are detailed in our press release and filings with the SEC. Should one or more of these risks or uncertainties materialize or should any of our underlying assumptions prove incorrect, actual results may differ significantly from results expressed or implied in these communications. In addition, we may use certain non-GAAP financial measures in this conference call. A reconciliation of any non-GAAP financial measures not reconciled in these comments to the most comparable GAAP financial measure can be found in our earnings press release or on the investor relations section of our website located at www.mastec.com. With us today we have Jose Mas, our President and Chief Executive Officer and Bob Campbell, Executive Vice President and Chief Financial Officer. The format of the call will be opening remarks and analysis by Jose followed by financial review from Bob. These discussions will be followed by a Q&A period and we expect the call to last for approximately 45 minutes. Jose?
Jose Mas: Thank you, Marc. Good morning and welcome to MasTec's first quarter call. First some first quarter highlights. Revenue for the quarter was $342 million, a 31% year-over-year increase. Gross profit was up 46% and margin improved 160 basis points year-over-year. Net income was up 53% and margin improved 50 basis points year-over-year. EBITDA was up 83% and margin improved 240 basis points from last year. Earnings per share were $0.16 versus $0.12 last year or an increase of 33%. Considering the country's current economic environment we had a great quarter. The benefits of our diversification efforts along with our margin improvement initiatives enacted over the past 18 months are having a very positive effect on both our current earnings and our long-term outlook. Over the course of the last few months the industries we serve have received significant attention from both the Obama Administration and Congress. The recently passed stimulus bill provided some very specific benefits for our customers that should have a positive impact on the second half of 2009 and thereafter. But it has also become evident that the stimulus package was just the beginning. Today a number of legislative initiatives are being introduced in Congress that when adopted will transform the industries we serve and will confirm our positive long-term outlook. For example, Senator Harry Reid recently introduced legislation that would eliminate certain aspects of the state's jurisdiction over the construction of new transmission lines. Under Senator Reid's proposal transmission line developers would enjoy the same federal eminent domain rights afforded the railroads and natural gas industry, thus increasing the speed and reducing the cost by which new transmission lines are built. Similar legislation in the natural gas industry led to the construction of more than 10,000 new miles of interstate natural gas lines. Also, there are strong indications that a national renewable portfolio standard will be approved by Congress this year. The anticipated benefits of the stimulus bill, coupled with the adoption of a national renewable portfolio standard, should have a significant positive impact on the renewable energy industry. Today, I am more convinced than ever that MasTec is in a unique position to take advantage of the growth initiatives and opportunities shaping the favorable long-term outlook of the industries we serve. As we look at the remainder of 2009 we anticipate some challenges. Net of acquisitions our first quarter revenues were basically flat year-over-year. Although we had organic revenue growth with both our energy and government customers, the growth was offset by a double digit decline in wireline revenue. While we expected some decline in wireline revenue the slowdown in spending has been greater than originally anticipated and we believe that this trend will continue for the remainder of this year. Also, an unexpected negative impact of the stimulus bill was that some companies actually held back project start dates to maximized the impact of the stimulus package on their business. Thus, we have seen some previously scheduled projects slip from a late second quarter start to the third and fourth quarter. Despite these challenges, we are beginning to see a marked improvement in the number or RFPs, bids and even in the number of new jobs being awarded. Now for some industry specifics, our install to the home business had a solid quarter. Revenue from DirecTV was $126 million, our highest revenue quarter with this customer ever, and a 3% year-over-year increase. It is important to note that last year's strong first quarter results reflected the introduction of high definition programming by DirecTV which had a very positive impact on our first quarter last year. In the first quarter of 2009 AT&T launched the addition of DirecTV as part of their bundled service offering. This AT&T-DirecTV initiative is off to a great start and we expect that it will continue to have a positive impact on our install to the home business. I want to note that the second quarter marks our seasonally lowest quarter. Last year we saw a sequential decrease of approximately 14%. This year we expect the second quarter to experience a less than 5% sequential decrease and then expect the typical 10 % to 15% pop in the third quarter. In our wireline communication markets we continue to see double digit declines. With few exceptions we continue to see customers cut back their maintenance spend and be more selective on their fiber expansion. While we are not expecting a recovery in 2009, we believe the over $7 billion in allotted stimulus funds for rural spending will have a positive impact on 2010 and beyond. Currently applications for rural broadband grants are to be received this summer and all grants must be awarded by the fourth quarter of 2010. As expected our wireless customers got off to a slow start. Despite this we have excellent visibility from our customers and expect to see significant acceleration in activity as the year progresses. A very positive trend in this industry continues to be user adoption of wireless data during the first quarter of 2009 wireless companies experienced growth of 38% to 56% in data revenues. This increase in data consumption requires wireless carriers to continue expanding and improving the reliability of their infrastructure. AT&T our biggest customer in this area has announced CapEx of $17 billion to $18 billion for 2009 and only spent approximately $3 billion in the first quarter. The work is ramping up and we are ready for it. Our utility business performed very well in the first quarter generating $124 million in revenue for the period, a 92% year-over-year increase. While our distribution business is facing some industry challenges, we continue to grow and expand our transmission resources. As I said earlier, we strongly believe that transmission spending will grow exponentially in years to come. Our natural gas customers also continue to face some economic pressures. The falling price of natural gas has had a negative impact on both existing and new pipeline construction. Our gas customers are being very selective with their expansion plans. We believe there are a large number of projects waiting to be built which will be released for construction as soon as the price of natural gas recovers. We have somewhat tempered our revenue expectations from these customers in 2009, but despite these CapEx reductions we are still seeing some activity in this sector. For example, just last month we were awarded 54 miles of new natural gas line construction. In the renewable energy sector we have seen a marked increase in the number of bids, RFPs and even in the number of new projects being awarded. Activity began picking up after the adoption of the stimulus package and has since been steady. For example, over the last few months we have bid on wind projects valued at well over $500 million. While many awards remain pending we were awarded six new projects during the quarter. We expect to see continued bidding activity in this market and actually expect it to increase. Over the last couple of days some of the largest developers of renewable energy projects released very impressive financial results. We expect activity within this sector to be very strong during the second half of this year and anticipate a great start to 2010. Again, we believe the regulatory environment today is vastly more favorable for renewable energy developers and we believe it is going to get even better. In anticipation of strong activity we have been working hard to increase our profile and service offering in the solar energy sector. We are pleased to announce that we have been awarded our first solar energy contract and expect this to be an area of tremendous growth and opportunity in the near future. Overall MasTec is off to a good start and we expect 2009 to be an excellent although challenging year. Yesterday we reaffirmed our 2009 earnings guidance. We feel very good about where our business is relative to our earnings guidance. As demonstrated in our first quarter results margins are improving and we expect that to continue. Yesterday we also adjusted our revenue guidance to $1.850 billion. Given the weakness in the wire line and natural gas sector and the delayed starts on some of our wind projects, we feel this is the prudent thing to do. We expect our revenue shortfall to materialize during the first half of this year. Again, we feel that the second half of this year will be very strong and expect a great start to 2010. In conclusion, MasTec is in a great position. We had an excellent quarter and expect strong 2009 earnings. More importantly, our future has never been brighter. I will now turn over the call to our CFO, Bob Campbell. Bob?
Bob Campbell: Thank you, Jose, and good morning. As Jose mentioned we had an excellent first quarter and we expect to have a good 2009. In fact, we expect 2009 to be an excellent year given the current pretty dismal economy. My Q1 headlines are as follows, Q1 revenue was up 31% to $342 million compared with $262 million last year. That's record Q1 revenue. Q1 EPS was $0.16 per diluted share compared to $0.12 last year. That's a 33% increase and our best Q1 in many years. Our margins continue to improve. Q1 gross profit margin improved to 15% from 13.4% last year. Q1 G&A expense as a percent of revenue also improved to 6.8% of revenue down from 7.6% last year. Q1 EBITDA was $28 million compared to $16 million last year. That's an 83% increase reflecting revenue growth as well as margin expansion. EBITDA margin grew to 8.3% compared to 5.9% last year. So we continue to improve margins. Cash flow from operating activities improved dramatically. Q1 was $49 million compared to $7 million last year. The improvement is due to better earnings, good collections and minimal tax payments. And finally our financial condition and liquidity remain strong. Now for the details, Q1 revenue was up 31% to $342 million. The increase was led by a 92% increase with our utility customers and with good growth with our communications and government customers. I'll cover our top 10 customers in a moment and as I mentioned it was record Q1 revenue. Q1 gross profit margin improved from 13.4% last year up to 15% this year. The improvement reflects productivity gains, improvements due to mix, meaning the growth in higher margin markets, and lower fuel costs. Depreciation and amortization basically doubled to $10.6 million reflecting the growth in fixed assets. But a big driver is an almost $2 million increase in amortization expense for acquisition related intangible assets. For Q1 G&A expense continued to improve dropping down to 6.8% of revenue compared to 7.6% last year. The improvement comes from the benefit of scale given our revenue growth, our focus on controlling G&A costs, and also legal costs are down by 65%. The drop in legal reflects our getting substantially all of our legacy litigation behind us. Net interest expense for Q1 was up about $3.3 million due to acquisition debt and lower interest income. Q1 diluted EPS was $0.16 versus $0.12 last year, and that's the best Q1 earnings in many years. And as we discussed on the year-end call we have become more seasonal with even less of our annual earnings coming in Q1. That's because we now do more business in weather affected northern markets and also some of our new customers give out the work on a more backend loaded basis than happened with our old customer mix. As I mentioned we had pretty dramatic growth in EBITD,A growing to $28 million from $16 million last year. The EBITDA growth is stronger than the EPS growth primarily because of the increase in depreciation and amortization including the growth in amortization expense of acquisition costs which went from $200,000 last year up to $2.1 million this year. For the first quarter for 2009 the 10 largest customers were DirecTV was 37% of total revenue down from 47% last year. As we said at year-end we now expect DirecTV to be less than 30% of our revenue on a full year basis. The 37% in Q1 just reflects strong DirecTV Q1 revenue while some of our construction businesses had their normal seasonally weak first quarter. We believe that we have now successfully addressed our DirecTV concentration issue. AT&T was 11% of total revenue up from 7% last year. The growth is coming from our relatively new wireless business. Verizon was 5% of total revenue. Duke Energy and ONEOK were 4%. M. A. Mortenson was 3%. Dominion Virginia Power, Progress Energy, Sandridge Energy and Embark were each 2% of revenue. Regarding diversification our top 10 customers now include one satellite television customer, three telecom customers, two wind farm customers, two natural gas pipeline customers and two electrical utility customers. Today backlog is $1.75 billion. That's an 18-month backlog number. The comparable number a year ago was $1.4 billion. One comment about backlog, even though we believe that fiber deployment work will last for many years, our backlog includes only the specific work for which we have current visibility. Also it's worth noting that roughly 60% of MasTec's Q1 revenue came from what we call master service agreements or other similar contracts for recurring services. Therefore, unlike some construction companies, we have a large base of contractual non-project recurring revenue. Our estimate of 18 months anticipated revenue from these master service agreements is included in our backlog numbers. Now let me talk about cash flow, our financial condition and balance sheet. First quarter net cash provided by operating activities was $49 million compared with $7 million in Q1 of '08. That dramatic increase comes from higher earnings, good collections and minimal cash taxes. Our cash flow continues to be helped by our tax position. Currently we have a federal tax net operating loss or NOL of $183 million which we can carry forward against our future cash tax liabilities. Regarding cash taxes, we expect to pay very modest cash taxes for 2008 and 2009. We expect to pay less than $1 million dollars in cash taxes for 2008. We expect to pay only several million dollars for 2009, be a partial tax payer for 2010, and then we may be a full or almost full cash tax payer in 2011. Our tax position really helps our cash flows in 2009 and 2010. At quarter end our accounts receivable day sales outstanding, or DSOs, were 64 days. The upward drift in DSOs from last year has been mostly due to changes in our in end markets and customer mix. Q1 usually has a little higher DSOs because we use the most recent 90 day's revenue rate to calculate a day's sales. And with low revenue in Q1 that negatively impacts DSOs. Given our current business mix our short term DSO goal now is to reduce them to 60 days or better. Regarding capital spending, we spent only $6.6 million in Q1. However, we do expect increased capital spending for 2009 and beyond. We are now much larger in size and our wind farm and natural gas pipeline businesses are more capital intensive than the historical core MasTec businesses. Therefore, we now expect CapEx spending for 2009 to be in the 40s after spending $35 million in 2008. We do not expect to hit or exceed $50 million in CapEx unless we see a big surge in second half business probably driven by stimulus spending. To summarize our cash flow characteristics I would say this, EBITDA is going up dramatically. Collections at 60 day plus DSOs are reasonable. CapEx in the 40s is modest and our tax payments are immaterial. Therefore, our cash flow should be very good. At the end of the quarter we had a strong financial position with cash, cash equivalents, securities available for sale and availability under the company's credit facility totaling $131 million. Eighteen million dollars of the cash is restricted. Now let me talk about our capital structure. Personally, I remain very pleased with our current capital structure. At the end of the quarter we had $457 million in equity, $277 million of total debt, only $220 million in net debt. That's net of cash, and we estimate $180 million to $200 million of 2009 EBITDA. Therefore, all of our balance sheet and credit ratios are in good shape. Now let me remind you about two things regarding our debt. First, it is very attractively priced. And second, slightly more than half of our debt matures in 2017 and most of the remaining debt matures in 2013. For a quick review of the debt we have first of all $150 million of 7-5/8% 10-year notes maturing in 2017. That's roughly half the debt. We have $55 million in an 8% 5-year convertible note with the Wanzek family. The note matures in 2013, and it's convertible at $12 per share. We had $20 million in draws on our bank revolver a quarter in. At year end the revolver balance was $43 million which was basically used to fund the $50 million cash paid to Wanzek in December. So in Q1 we were able to pay the revolver down by $23 million which was most of our total debt reduction which was $27 million in Q1. We were fortunate last July to expand the size of the revolver from $150 million up to $210 million. Also we extended the bank line maturity until 2013 and it is very attractively priced at LIBOR plus 250 or prime plus 125. Also we have $52 million in other debt. The other debt consists of normal course equipment financing and capital leases. While there are modest maturities of this debt in 2009 they will likely be replaced by new normal course equipment financing and capital leases. In our quarter end balance sheet we have $21 million of securities available for sale which are our auction rate securities. We've taken a $12.6 million life-to-date temporary impairment charge against equity to reflect to estimated market value of these securities. We continue to monitor the market value and liquidity for these securities. In our litigation footnote in the 10-Q we did disclose that we have filed a binding arbitration claim against Credit Suisse, our investment manager. In our arbitration claim we're asking that Credit Suisse buy back our auction rate securities at par which is $34 million. The arbitration is currently set for September, so we should resolve the matter with Credit Suisse this year. Now let me cover some details about our guidance. We reaffirmed yesterday our 2009 earnings guidance. Our 2009 earnings guidance is $1.05 to $1.15 per diluted share. That's an increase of 9% to 20%. Also, we expect our 2009 revenue to be approximately $1.850 billion. Obviously there's some margin expansion that's allowing us to hit our earnings guidance with reduced revenue levels. The margin expansion, which I'll cover numerically in a moment, comes from our continued focus on margin improvement, the operational productivity gains we have been talking about, control over G&A costs and the significant benefit from lower fuel costs. Now I'd like to go into some detail about the two items that are negatively affecting our 2009 EPS. First we have a much higher book tax rate for the full year of 2009 and second we will have much higher amortization expense of acquisition related intangibles. Note that the amortization is non-cash and almost all of the tax expense is also non-cash because of our NOLs. Our book tax rate on the P&L for 2008 was 1% and we now expect the 2009 book tax rate as a percent of pre-tax earnings to be in the low 20s. Also our amortization expense of acquisition related intangibles will grow from less than $4 million in 2008 to about $9 million for 2009. The impact of the jump in tax rate and in amortization expense significantly impacts EPS. In fact, these two items have a roughly $0.30 to $0.45 per share negative impact on 2009 EPS. That's why we wanted to highlight the growth in EBITDA from $110 million in 2008 up to $180 million to $200 million in 2009. That's a year-over-year increase of 63% to 82%. Now I'd like to make a couple of comments about the profit margins implicit in our 2009 guidance and about our profit margin trends. First let me talk about pre-tax profit margin which we think is useful since we do not currently pay any significant amount of cash taxes. Our pre-tax profit margins have grown from 4.4% for 2007 to 4.9% for 2008 and the margin in our 2009 guidance is 5.8% to 6.6%. And note that the 2009 pre-tax margin is burdened with about $9 million of non-cash amortization of acquisition intangibles. Our EBITDA margins have grown from 7% in 2007 to 8% in 2008 and the EBITDA margin implicit in our 2009 guidance is 9.7% to 10.8%. It is worth noting that when Jose took over as CEO two years ago he said that our short to medium term pre-tax margin goal was 6% to 8% and his EBITDA goal was to hit double digits. Our guidance approaches or exceeds both goals. We expect revenue for the second quarter of 2009 to be approximately $375 million with diluted earnings per share of $0.22 to $0.24. The company's guidance assumes continuation of today's pretty awful economy and is not dependant on a recovery. On the other hand, it does not assume an economy getting worse than today. Our guidance also does not include any additional impact of our legacy litigation or any mark-to-market valuation adjustments on auction rate securities. These items are excluded either positive or negative. In closing just to echo what Jose said, we have an excellent first quarter and we expect 2009 to be a very good year. Our revenue is growing. Diversification is putting more reliability and a greater spread of risk into our business model. We will continue to reduce costs and become more efficient and we expect improved earnings, improved margins and improved cash flows. That concludes my remarks. Now let me turn the call back to the conference operator for the Q&A session.
Operator: Thank you, sir. (Operator Instructions). Your first question comes from Alex Rygiel – FBR Capital Markets.
Alex Rygiel – FBR Capital Markets: First, a quick clarification, Bob spoke too fast, what did you say your backlog was at the end of the quarter?
Bob Campbell: A billion seven-fifty.
Alex Rygiel – FBR Capital Markets: Perfect. And Jose, you mentioned that you did recently win six wind awards. Can you give us a little bit more color on size or customer type, anything of that nature?
Jose Mas: Yes, I think we said it at our last call that activity had been slow at the beginning of the year. Activity was real slow at the end of last year. So I think we finally started to see activity really break after the stimulus package. We've bid well over $500 million in wind projects over the course of the last few months which is a great spiked activity and the good thing is we actually expect it to get better. We were awarded six projects. Not all of those projects are included in our backlog as some were awarded right after quarter end. Just to put it in perspective, it's a little bit over $100 million in those six, but almost half of that 500 is still pending awards. So we don't think we'll get it all but we think we'll get a piece. So we're pretty excited about what's happening in that market. It's coming a little later than we had hoped. We had hoped that a lot of these projects would have been awarded a little bit earlier and that we would have had a chance to get started on some in the second part of the second quarter. But I think we're seeing a lot of push-off into Q3 and Q4 and are actually already seeing a lot of activity for '10. So there's no question that the industry is getting a lot better.
Alex Rygiel – FBR Capital Markets: And you also mentioned a solar project. Congratulations on getting your first one. But could you also just help us to understand the size and scope of that project, understanding it's your first one probably not very large but could we at least just put some parameters around it?
Jose Mas: Yes, it's a small project. I think we've seen a tremendous amount of activity in the solar space. You're seeing it a lot. You obviously have a couple of leaders in that business from a development perspective and then you've got a lot of smaller companies that are really establishing themselves. We're seeing utilities across the country really make a play on solar and really start to create a, as part of their renewable portfolio package, a number of solar developments and projects. So we think there's going to be an enormous amount of opportunities. We're excited about it. We think we're going to get a lot bigger in that business and it's kind of a business that we always knew was out there. We never really understood the scope of it. As you've gotten obviously more into the renewables, there's a lot of the developers that have been building wind are starting to build solar. We're actually very encouraged by it and we think that it's a great market for us and one that we're going to work hard at growing.
Alex Rygiel – FBR Capital Markets: And lastly, I want to thank you for adding some additional color in your Q with regards to the acquisition contribution in your quarter. If you back into the numbers, it looks like your gross margin from your core business was up about 70, 80 basis points year-over-year, confirming fuel savings and labor utilization, whatnot. But it also looks like your acquisitions in the quarter continue to be at gross margins of about 17.5%, which was better than your core. I would have thought it would have been the opposite in the March quarter given the seasonality of Wanzek's business. So with that kind of said, is it safe to assume that the gross margins in the acquired businesses last year could be north of 20% over the next six to nine months?
Jose Mas: Well, I think you have some anomalies in Q1, Alex. I think that we obviously got off to the year with a great start in our natural gas business. We had a lot of backlog going in to 2009. There's no question that if you just take the handful of acquisitions that we closed after the first quarter last year and only looked at those, that probably had a very positive impact to those acquisition's gross margin as a whole. Had you backed that out, you probably would have seen a little bit of a different story. But we're encouraged. The core business continues to improve. I think that if you look at our core business and you listen to some of the comments, our wireline business really struggled from a revenue perspective and obviously that translates into margins. So if you look at our business without wireline we actually did a little bit better than the numbers that you quoted. So we're really encouraged about where the business is headed. We think that our acquisitions are going to do very well this year. Again, just from our acquisition strategy perspective, we think we've bought companies real well. We think we've done a good job at integrating them and we're really happy with the progress that they're making as part of MasTec. Some of it will ramp, obviously as the year goes on. We're expecting some big ramps from some of our acquisitions. So we feel good about where the margin profile is. We've been saying all along that the businesses that we buy have a higher margin profile but I wouldn't expect 20% from them either.
Operator: Your next question comes from Adam Thalhimer – BB&T Capital Markets.
Adam Thalhimer – BB&T Capital Markets: First of all, here on the wind side, I think FPL mentioned on their call earlier in the week that wind installations could be up something on the magnitude of 50% to 100% next year. First of all, are you guys well positioned to grab a share of that? I know you've done some work for FPL in the past. And is that the kind of percentage increase you might see for the overall industry next year?
Jose Mas: We think it will be a lot more dramatic and let me explain that. I think when you look at FPL, FPL is a leader in wind development. They've probably done – they've done more than anybody. And they're probably, as you look at 2009, one of the more aggressive developers in terms of continuing their plan. So you've seen a slowdown, a bigger slowdown from a lot of the other developers than you saw from FPL. FPL did roughly 1,100 or 1,200 in 2008. They're talking about doing north of a 1,000 in 2009 and they said on their call they'll do somewhere between 1,000 to 2,000 and kind of pushed everybody to mid-point on that as you look at '10. So FPL is actually coming off of a, will be coming off in 2009 of a good year, not as good as everybody had hoped or originally thought because I think originally we thought they were going to be closer to 2,000 in '09 and so that kind of slipped a year. But a lot of other companies that don't have activity planned for 2009 have significant activity for 2010. So we're seeing some customers who cut their budgets a little bit more in '09. We think they're going to ramp them up higher in '10. And we're seeing some companies that didn't have much activity in '09 that are going to have a lot of activity in '10. So I think as an industry, we'll see a bigger bump than strictly what FPL has seen.
Adam Thalhimer – BB&T Capital Markets: On the electric distribution side of your business and I know that's a legacy business, I think both Duke and Dominion Virginia Power have kind of said that they might be ramping that spending up late 2010, probably late '09, early 2010. Is there a chance that that business could improve over the coming quarters?
Jose Mas: I think there's a chance. We're not expecting it. If you look at Dominion, our revenues with Dominion actually increased really nicely year-over-year. But outside of that we're seeing the residential markets and obviously new housing construction's having an impact on that business. So there's some bright spots in that business. There's some customers that are spending more than others. And there are customers that we've seen increases with. But I think as you look at the business as a whole, we expect that business to be flattish with last year which is kind of what we've been saying. It's kind of what we saw in Q1. It's nowhere near as bad as what we seen in the wireline communications business, so it's hanging in there. But we're not expecting a recovery in '09.
Adam Thalhimer – BB&T Capital Markets: Okay, and then just a question on guidance, looks like your full year guidance kind of implies a bit of a pick-up in the back half of the year. I'm just wondering, what kind of variables are in there? I mean, is that based upon your current backlog and recent contract awards? Are there some expectations that maybe the economy improves modestly or as the stimulus bill starts to help a little bit more?
Jose Mas: That's a good question and I think that our business has always been somewhat seasonal in that Q3 is by far our best quarter. We see some pick-up in Q4 versus traditionally where we are in Q1 anyway. And we typically see a nice bump in Q2. I think the bump this year in Q2 is actually getting pushed back a little bit for all the reasons that we thought. So we're still extremely encouraged about the back end of the year. It's the reason that we bring down our numbers. It's really, it's our best look today. A lot of what we have on hand, what we know is coming, what customers are telling us. Numbers can get a lot better. If some of these things happen, if the renewable market takes off like some expect, although we're not counting on it. But I think it was our best look today based on the projects that we have on hand, based on what we expect to get and we know is coming and it's our best guess at it from a margin perspective. We actually expect to do better than we originally had anticipated and think obviously that the margin gains are going to offset the revenue losses.
Adam Thalhimer – BB&T Capital Markets: And then finally on the convert side, Bob, where did that show up in the quarter? I expected an uptick in the share count but I didn't' see that.
Bob Campbell: No. Early in the year, the way the math will work it won't be treated as if converted. And in the second half of the year, we'll add back the interest and increase the share count. It's just the math between the impact of the shares and the impact of the interest as you go through the year. So we did treat it as debt for Q1 and I think you should expect that for Q2 and then it will switch for Q3 and 4 and for the full year if converted.
Jose Mas: Just to add, we have to report the lesser of, so the one that impacts us the worst, and as Bob said, it kind of changes quarter-to-quarter.
Operator: Your next question comes from Mickey Schlein – Ladenburg Thalmann & Co.
Mickey Schlein – Ladenburg Thalmann & Co.: I wanted to ask a couple of questions. One going back to the guidance, just to get some clarity on what aspects of your costs do you expect to contain more than you previously expected to contain in order to make your bottom line number given that you reduced your revenue guidance? And then I'll go on to the next question afterwards.
Jose Mas: Yes, I think A, we continue to perform better as a business. I think that we've done a good job at improving margins year-over-year. I think as we looked at this year, even though it's a challenging year, we're actually continuing to see the effects of that. And then, undeniably, I think one of the biggest impacts on our margins is fuel. Fuel is dramatically lower than where we thought it would be for 2009. We saw a couple million dollar improvement in fuel in the first quarter versus the first quarter of last year. We modeled in our plans an increasing fuel cost as the year went on, nowhere near what's happening in today's market, so I think we're going to get a tremendous benefit from fuel versus our plans and I think that's going to be probably the biggest driver of the difference as we look at the loss in gross margin from the additional revenue.
Mickey Schlein – Ladenburg Thalmann & Co.: And my second question, my last question is a big picture question regarding the portfolio of services and industries that you're serving. Could you give us your latest thoughts on are there any additional industries, segments of the industry, that you'd like to enter which you don't already operate that excites you? And conversely, are there any underperformers? For example wireline that you're getting second thoughts about or you are at this point considering exiting?
Jose Mas: We're not considering exiting any businesses. I think that the wireline business we're actually bullish on in the future. We think that the rural spend initiative in the stimulus is going to have a big impact on that business. We think there is more of that coming as well. So we're pretty bullish on that. We're bullish on our wireless business. Obviously, we're very bullish on renewable. We're very bullish on transmission. So I think you're going to see us continue to try to grow our presence in those businesses. We've said all along that as we look at 2009, it's not a year where we think we have to make acquisitions, although there are opportunities out there and we will continue to look and wouldn't be surprised if we did something. At the same time, I really don't see us stepping into any businesses that we're not currently in.
Operator: Your next question comes from Veny Aleksandrov – Pritchard Capital Partners.
Veny Aleksandrov – Pritchard Capital Partners: I have a question on the natural gas infrastructure side. You mentioned that there is a slowdown but you still got awarded 45 miles so there was none. Can you give a little bit of details about the situation? Different from region to region or is it extremely weak all across?
Jose Mas: It was a 54 mile project and again, I think that natural gas companies are being very conservative. Obviously, many of them hedged in their portfolio and depending on the company, they may have more or less activity depending on where they stand there. Overall, unfortunately in that business, there's still new work coming out. There's still projects being awarded, but it's at obviously at a much lower level than what we had previously seen. Competition's up in that market. So I think it's purely tied to the price of natural gas and we've seen the price of natural gas fall substantially over the course of the last five or six months. We don't think that's sustainable and we think that the industry will pick up very quickly as the price of natural gas improves. I mean, there are some projects that are larger scope in nature, some of these interstate pipelines that are getting built, that really the price almost has no effect on because those projects have to be finished and they have to go forward. As you look at some of the smaller sections, obviously the companies have really more flexibility in staring projects or slowing projects down and we've kind of seen that. So again, we're very bullish on this business long-term. We think natural gas is a great solution for some of our energy needs. There was a great story today in the front page of the Wall Street Journal on natural gas and the title was actually "From Bust to Boom." So we're encouraged that it's going to get better and we think that as soon as prices improve, we'll see a, we think it will have a nice impact on our business.
Veny Aleksandrov – Pritchard Capital Partners: My second question, you talked a little bit about that and you mentioned that you have more than $500 million in bids right now on the renewable side. Can you put that in perspective how many projects does this include and how does it compare to Q4 or to what you are seeing now in Q2?
Jose Mas: Well, I can say that in Q4 we saw very little, so activity had almost – it almost had come to a halt but it obviously slowed down dramatically. You know, wind farm projects can be anywhere from $15 million to $50 million are probably the average sizes of any of those projects. We think activity is, activity was back-end loaded in the quarter as well, which I think is important. So it's not like we saw all this activity starting on January 1st. We saw more activity as the stimulus passed. So it really ramped as the period went on. Again, we said in our remarks that we think the activity is going to actually pick up as the year goes on. Some of it will be '10 work but we think that there's going to be a lot of projects out in the market. There's a considerable number of projects that have yet to be awarded out of those that we've bid and we don't expect to win them all but we do expect to get a few. AWEA, the American Wind Energy Association, is having their annual convention next week. We think that it's going to be a very important event for us and we're showcasing ourselves in that event in a big way. We think that will have a positive impact and we think we'll leave that show with a much better understanding for where the market is headed long term and have a much better outlook on 2010.
Operator: (Operator Instructions). Your next question comes from Simon Leopold – Morgan Keegan.
Simon Leopold – Morgan Keegan: I wanted to first ask a quick housekeeping question. On the share count when we get to reflecting the convert and the additional dilution, could you just remind me where the share count would go then?
Jose Mas: Yes, it would go to about 81.5 approximately, 81 million 500,000 versus the roughly 77 million that we currently have.
Bob Campbell: The adding in the 4.6 million shares and then of course deducting the – or backing out the interest.
Simon Leopold – Morgan Keegan: Right, and that was about 1.1 million?
Bob Campbell: Right. Correct.
Jose Mas: In the quarter.
Simon Leopold – Morgan Keegan: Yes. Now, reflecting back on the disclosure for the acquired businesses, I think sales of like 83 million. Could you give us a little more granularity in terms of how that contributed versus your expectations when you had given us the original quarterly forecast and maybe some color to how much of that was in Soro, Pumpco and Wanzek?
Jose Mas: Well, I think that obviously we had planned for those acquisitions to get off to a slower start just based on the seasonality of those businesses. If you look at our first quarter original guidance in revenues versus where we ended up where we're obviously a little bit light. I'm disappointed about that and I think some of that came from, as we said, wireline, but obviously some of it came from these three acquisitions. I think from an encouraging perspective, and just breaking out each of them, I think that in Soro we talked about our wireless business. We think we have excellent visibility into what's expected of us in that business. We've said time and time again that we expect to do well over $200 million in that business. We still believe that and we think we pretty much sat down with our customers and understand what is expected of us for 2009 almost on a per project basis and feel that that target's going to be very achievable. So that's a business that ramps. It goes from – it has a seasonality to itself. I think it was further complicated by the fact that AT&T went to a turf award versus awarding that work differently last year. So I think that actually probably created at least a 30 to 45-day setback in terms of how we saw the work coming. We've seen a dramatic ramp in that business and as the second quarter started and again, we expect second quarter to be better and then ramping from there. Our Pumpco business and our natural gas business, we said we had some good backlog coming into '09. We've had a couple of projects shift on us here lately. They got pushed off a little bit more which is kind of lead – which is one of the reasons for our more tempered look to Q2 but then again we you know we feel good about that business. We feel good about the long-term prospects of that business but also understand that 2009 is going to be challenging from you know where natural gas prices sit. And as natural gas prices improve we think that business will do very well. And Wanzek obviously you know got off to a slower start. They're based in a part of the country where you know we probably never expect a lot of Q1 revenue from them in terms of whether they're overall year looks like. Historically we've been somewhat successful in Texas and we think that we've got an opportunity you know to get that – we've got work hard at getting some jobs in Texas to take us through that first quarter and make it a less seasonal business. But you know again we've said they're more focused outside of Texas and outside of Texas you have more weather issues. So we're kind of going to see that business ramp as the year goes on. And we expect them to have a very, very good year.
Simon Leopold – Morgan Keegan : Is it fair to think of the Q1 Wanzek contribution in the neighborhood of $50 million?
Jose Mas : You know it didn't quite get there, so it wasn't actually that high but –
Simon Leopold – Morgan Keegan : Let's shift over to the gross margin discussion and you did touch on this earlier but it seems like a pretty critical issue in terms of your ability to deliver on the earnings. And it seems like off of this Q1 level even with only modest improvement it's pretty easy to meet your numbers. And I'm trying to really get a better read on how much of this is being conservative or what some of the other moving parts are in light of the earlier discussion about the gross margin from the acquired businesses being pretty good. Fuel costs being in your favor it just seems to me there's more upside than gross margin and I'm wondering what I'm missing.
Jose Mas : I'm glad you feel that way Simon and actually and we agree. I think you know obviously we had a strong back-end of the year from a revenue perspective. We've got strong targets to meet. We feel very comfortable we'll meet them. Margins continue to improve and I think we've tried over the course of the last year and a half to be extremely transparent in our results, to be transparent in what we're thinking and when we're thinking it. So lowering our revenue forecast didn't go without great debate. And I think that as we looked at lowering our revenue forecast, and based on what we've have to achieve for the year we felt that again, it probably wouldn't be prudent to change our margin profile in what we were looking at. So again, we feel comfortable with the guidance we have out. We expect to obviously hit it and we're going to work hard to beat it. And I think that's what you've seen from the company over the course of the last 18 months. And you know we're going to continue down that path.
Simon Leopold – Morgan Keegan : Let me ask this, just maybe in a little bit different way then. In terms of gross margin understanding the drivers that could make it go up what are the factors or risks that you consider could make it go down?
Jose Mas : You know we're – the biggest is fuel obviously and I think that as you look at the balance of the year it looks like fuel is going to be in our favor. You know the flip side is if fuel goes up we're going to get more work out of it from some of our other businesses that are more tied to our fuel cost goes. So you know the reality, Simon, is we don't think there's a lot of risk that the gross margin profile as we've laid it out for the year.
Operator: Your next question is from John Rogers – D.A. Davidson
John Rogers – D. A. Davidson & Co.: I guess first question in terms of the tax rates just so I understand this, in the second quarter you'll be in the again essentially zero then it ramps.
Bob Campbell: That's correct, John.
John Rogers – D. A. Davidson & Co.: OK.
Bob Campbell: You know so just for everybody's benefit it'll be minimal in Q2, partial in Q3 based on you know our current expectation and by Q4 we should be at the 39 plus normal tax rate. And that weighted average will give you a full year tax rate we see in the low 20s.
John Rogers – D. A. Davidson & Co.: Okay, great. Thank you. And then secondly just in terms of the larger project business, the ones like the Pumpco business, at this point Jose can you – how much of that business for the second half of the year do you have in backlog? And how much of a lead time does that business typically book for these operations?
Jose Mas : In every business it's a little bit different. To talk about wind for a second I think historically wind projects have been done in a very condensed period of time. For example last year both our power partners division and Wanzek got a number of projects awarded in the months of June and even in the beginning of July and were able to complete those projects by year end. So there are a lot of projects that start and finish in a very relatively short period of time. I think we'll continue to see that so I don't think that – you don't need eight, nine months of lead time to really start and finish one of these products which is positive. There are obviously as the projects get bigger you need more time. I would say that we built our revenue projections for the year based on the best information we have today. So it has a lot to do with we currently have on hand and those projects that we expect to be awarded over the course of the next few months and be able to complete by the end of the year.
John Rogers – D. A. Davidson & Co.: And as we go out especially into 2010 I assume on the wind power projects particularly they have the potential to get a lot larger. I mean, so will we end up seeing some of that work start to book this year?
Jose Mas : Yes.
John Rogers – D. A. Davidson & Co.: Okay, and what is the typical size of the Wanzek or power partners projects now?
Jose Mas : And John, by the way just to add to that, we already have projects awarded that we expect to do in '10, so there are a lot of developers out there that will secure resources. And if you look at the industry a few years back there was a huge resource constraint in this industry and developers were doing all kinds of things to really lock up both materials and contractors with big lead times. I think we've kind of saw that go away in 2009 because of the economic conditions, but as we look at '10 and really beyond we think that's going to come back. And we think that we're in a great position with a lot of customers to really be part of their – partner to them in a real long term solution. So we're working hard on really building those relationships and trying to be in a position where people are locking us up for a long period of time. Again from a size prospective we've kind of laid out that depending on whether you're only doing electrical or you're doing the full engineering procurement construct of a wind farm projects can be anywhere from 15 to – most of the projects we're seeing today are $15 million to the $50 million range. The $50 million projects are many times one phase of a much larger project so there's projects out there that are $100 million to $150 million and we'll compete on those.
John Rogers – D. A. Davidson & Co.: And we should start to see more of those I presume based on what we're hearing from the utilities and others later this year or at least the potential for them.
Jose Mas : We believe so.
John Rogers – D. A. Davidson & Co.: And on the natural gas business, I assume that the larger projects are the ones that are being pushed out there.
Jose Mas : We're seeing projects of all sizes, John. I think some if the larger projects have begun construction they will finish it because they've got so much invested in the projects, so many times the first projects that you can see get pushed off a little bit end up being the smaller ones. But again we were awarded a nice project last month and there's certain builds that are going to happen based on the requirements of our customers. That'll continue in this business but no question it's a challenging environment.
John Rogers – D. A. Davidson & Co.: Okay, and then just lastly in terms of these projects are your contracts structured such as all the materials, I mean the towers, the components, the wires are all purchased by the owner? I'm just trying to understand the potential margin volatility.
Jose Mas:  Yes. I'm not sure which projects you're talking about. In those instances where we buy materials and there are some we basically bid at the time, lock in prices with a materials vendor and we're guaranteed the pricing structure through the life of that project. So we're not subject to material variability during the life of the project.
Operator: And our allotted time is up so I would like to turn the call back to Jose Mas for any additional or closing comments.
Jose Mas: Again we'd like to thank everybody for participating on today's call and we look forward to hearing from you on our next call. Thank you.
Operator: And that does conclude today's call. Thank you for your participation.